Operator: Greetings, all, and welcome to the Eledon Pharmaceuticals reports First Quarter 2021 Financial Results. During the presentation, all participants will be in a listen-only mode. Afterwards, we'll conduct a question-and-answer session.  I'd now like to turn the call over to Jon Kuwahara, Senior VP of Finance. Please go ahead.
Jon Kuwahara: Good afternoon and thank you, all, for joining Eledon Pharmaceuticals' First Quarter 2021 Financial Results Conference Call. Joining me today three members of our leadership team: David-Alexandre Gros, Chief Executive Officer; Steve Perrin, President and Chief Scientific Officer; and Paul Little, Chief Financial Officer. Earlier today, Eladon issued a press release announcing financial results for the first quarter ended March 31, 2021. You may access the release under the Investors tab on our company website eledon.com.
David-Alexandre Gros: Thank you, Jon, and good afternoon, everyone. We made good progress during the first quarter, advancing both our company and our lead molecule AT-1501. I'm excited by the promise offered to us by AT-1501 as a potential therapeutic for organ or cellular transplantation, ALS and serious immunological diseases where patients face limited treatment options. Steve will go into details around AT-1501 program updates, but at a high level in the first quarter of this year, we continued to enroll patients into and remain on-track for our ongoing ALS Phase 2 study, we reopened our Canadian site for our Phase 2 islet cell transplantation study for the treatment of Type 1 diabetes and we received FDA feedback and updated our development strategy in renal transplantation. Operationally, we completed our evolution into Eladon Pharmaceuticals from Novus Therapeutics. We also bolstered our senior leadership team to help us execute on our plans and achieve our short and long term goals. Regarding the team, I'm extremely pleased to introduce four new executives: Paul Little as Chief Financial Officer; Jeff Bornstein as Chief Medical Officer; David Hovland as Chief Regulatory Officer; and Bryan Smith, as General Counsel, Corporate Secretary and Chief Compliance Officer. With them on board, I'm thrilled that we've built out a top-tier leadership team that I believe positions us to achieve success for the benefit of patients and shareholders alike. I will now turn the call over to Steve Perrin, our President and Chief Scientific Officer to discuss our clinical programs, after which Paul Little will provide a financial update. Steve, please go ahead.
Steve Perrin: Thank you, DA. For those of you that are new to Eledon story, I'll start by giving a brief overview of our lead asset AT-1501 and IgG1 anti-CD40 ligand antibody lacking FC effector function. Physiologically, the interaction of CD40 ligand and CD40 results in clonal expansion, antibody production and secretion of pro-inflammatory cytokines that amplify an immunoresponse. The CD40 ligand pathway that are attractive drug target because the engagement of these receptors plays a pivotal role in immune system activation by mediating both antibody and cellular immunoresponses. We are focused in our efforts on the development of an antagonist antibody targeting in the ligand rather than the receptors and targeting the ligand has been shown to be more efficacious than preclinial models of autoimmunity, as well as in the prevention of acute and long term allograft transplant rejection. There may be three different biological mechanisms that benefit targeting anti-CD40 ligand over targeting anti-CD40 receptor. The ligand is expressed on fewer cell types with expression generally restricted to platelets and endothelial cells and activated lymphocytes whereas the receptor is more broadly expressed on antigen presenting cells, including monocytes, macrophages, dendritic cells and specialized antigen presenting cells. Second, targeting both the receptor and the ligand inhibits B cell activation and class switching, as well as inhibiting the pro-inflammatory polarization of CD4-positive helper T-cells. However, blocking CD40 ligand also inhibits other integrand receptors, including CD11 receptors on antigen presenting cells, thus blocking the pro-inflammatory polarization of CDA-positive cytotoxic T-cells as well. And third, blocking the ligand also polarizes CD4-positive lymphocytes to FoxP3-positive Tregs, thus potentially creating a more tolerogenic environment. Our current development strategy is to target for indications which I'll discuss in order of clinical development. First, amyotrophic lateral sclerosis or ALS, where we currently have a Phase 2 trial enrolling; second islet cell transplantation as a potential functional cure for people living with Type 1 diabetes, where we currently have an active clinical site in Canada. Third, prevention of kidney allograft transplant rejection, where we have received guidance from the FDA on the path forward in the United States and around parallel exploring a renal transplant study XUS ; and fourth autoimmune nephritis where we are finalizing indication selection and plan to communicate our strategy next quarter. I'll now go into more detail regarding each of these indications.
Paul Little: Thank you, Steve. In addition to the financial results summarized in our press release, you can find additional information in our form 10-Q, which we will file later today. The company reported a net loss of $8.5 million, or $0.57 per share for the three months ended March 31, 2021, compared to a net loss of $8.2 million, or $0.52  per share for the same period in 2020. Research and Development expenses were $5.6 million for the three months ended March 31, 2021, compared to $1.6 million for the same period in 2020. The increase in R&D costs was primarily due to spend related to the production of clinical trial materials, and other CMC activities as we advance or AT-1501 program. General and administrative expenses were $3.3 million for the three months ended March 31, 2021, compared to $1.7 million for the same period in 2020. The company had approximately $108.6 million in cash and cash equivalents as of March 31, 2021, compared to $114.2 million in cash and cash equivalents as of December 31, 2020. We expect our financial resources to be sufficient to fund operations as currently planned well into 2023. With that financial update, let me turn the call back over to DA to highlight some of our key upcoming milestones for 2021.
David-Alexandre Gros: Thank you, Paul. In the early part of this year, we became Eledon Pharmaceuticals and both continued to make progress advancing AT-1501 and building out our team. During the second quarter, we expect to initiate a Phase 2 trial in islet cell transplantation in Type 1 diabetes and we will be presenting AT-1501 data, including nonhuman primate data in a type one diabetes model at the American Society of transplantation annual meeting in June.
Operator: Certainly, and thank you very much.  Our first question comes from Alethia Young with Cantor. Your line is open.
Li Watsek: Hi, thanks for taking the call. This is Li, on for Alethia. Just kind of curious why you think the FDA wanted specific information related to 1501 when given that there's already primate data out there from the competitors?
David-Alexandre Gros: So, I think the FDA was focused on being able to see drug-specific and organ-specific data. So as you know, we have done as we discussed on this call nonhuman primate studies looking at transplantation, but with islet cells. Here in transplantation, we're in a unique situation where it becomes hard to separate safety and efficacy data, since one needs efficacy in order to be able to protect the organ. So, what the FDA was looking for was to have specific information on AT-1501 in renal transplantation in order to make sure that to give comfort that there would be not only safety but efficacy in this particular type of transplantation.
Li Watsek: Okay, got it.
David-Alexandre Gros: And everybody has to do -- as you know, each organ is very valuable here and so there's quite a high bar with transplantation
Li Watsek: Okay. Just a follow up, can you just maybe talk a little bit more about your potential plans to run an XUS study for 1501 in renal transplant, just to sort of generate some proof of concept data here.
David-Alexandre Gros: Exactly. So these are still early days in these discussions. As you know, we just received the feedback from the agency recently, but the goal would be to do a smaller trial than what we had initially anticipated. But one that could be done internationally and to your point, would allow us to begin to be able to show data in terms of both safety and efficacy in renal transplantation in humans.
Li Watsek: Okay, got it. Thank you.
David-Alexandre Gros: Great. Thank you.
Operator: And our next question comes from Rami Katkhuda with LifeSci Capital. Your line is open.
Rami Katkhuda: Hey, guys. Thanks for taking my question. Just a quick one for me, but based on preclinical ITT data that you've presented, do you guys envision utilizing a monotherapy arm in the upcoming Phase 2 trial? Or will you test 1501 in combo with standard of care?
David-Alexandre Gros: Just to clarify, are you talking about the renal trial, the human islet cell transplant trial, or the nonhuman primate renal trial?
Rami Katkhuda: Sorry. This would be for the human islet cell transplantation trial.
David-Alexandre Gros: Let me turn that over to Steve to talk about that trial.
Steve Perrin: Yes. Currently, the human islet cell transplant trial is not a monotherapy trial. It's trial where we're trying to really achieve getting rid of calcineurin inhibitors due to the associated toxicities that we described. We really feel that in the absence of CNI as based on our preclinical data, and historical preclinical data that we'll have much better islet cell survival, much better islet cell function, and hopefully reduce the number of transplants required to get people with large enough islet cell mass to really impact insulin production. So, it's not a monotherapy trial. It's a trial with induction therapy, plus maintenance therapy.
Rami Katkhuda: Got it. Thank you very much.
Steve Perrin: Thank you.
David-Alexandre Gros: Thanks, Rami.
Operator: Our next question comes from Thomas Smith with SVB Leerink. Your line is open.
Thomas Smith: Hey, guys, good afternoon. Thanks for taking the questions. First, just on the updated plan in renal transplant. Can you provide a little more color on the plans for running the additional nonhuman primate study? I know you've laid out some initial time lines, but just a sense of I guess size and scope and specifically what you're looking for?
Steve Perrin: Yes, so we're still in discussions with the agency about the design. Obviously, we're trying to be sensitive for the utilization of nonhuman primates in these types of experiments, but understand, the ability to generate that type of data. The guidance from the agency, they want to show our ability to prevent transplant rejection. So, that was probably the most important requirement as we think about our design with them. But we're still in a dialogue on what that design needs to look like.
David-Alexandre Gros: It will most likely include monotherapy in order to be able to show the fact specifically of our antibody.
Thomas Smith: And follow-up question, just in terms of the ALS study enrollment. As we're starting to see some improvement in COVID-19 infection rates, maybe if you could just talk a little bit about enrollment trends. Are you guys seeing any meaningful changes in terms of patient enrollment or cadence that gives you a little bit more confidence in the first half 2022 time line for data?
David-Alexandre Gros: So, in terms of the ALS trial as we mentioned, we're on track. Overall, we've been on track for pretty much the whole the whole time since we've launched the trial. We did see some slowdowns that were associated with the various COVID peaks here in the United States, but maybe because we're in enough sites, and the sites are distributed across the United States and Canada. It did not have a meaningful impact in terms of recruitment and enrollment. So, with regards to that one trial, we continue to see good interest as we've seen, but at least that specific trial has been so far quite independent of what's been happening with COVID.
Thomas Smith: Okay, great. Appreciate the color. Thanks, guys.
Operator:  Next question comes from Matt Kaplan with Ladenburg Thalmann. Your line is open.
Matthew Kaplan: Hi, good evening, guys. Thanks for taking the question. Just wanted to follow-up a little bit on the islet cell transplant trial. Sounds like you're about to have your first patient enrolled in that near term. How should we think about kind of the rollout of data from that study? Is it going to be as you reach a certain cohort number? Or will you announced that as you get towards the completion of the study?
David-Alexandre Gros: Thank you very much, Matt. Let me turn that over to Steve.
Steve Perrin: Yes, it's a great question, Matt. Obviously, we want a cohort of patients to be able to determine readouts on the study. So, we're enthusiastic that the site is active and we're looking forward to our first patient coming in. But we need three or four subjects worth of data to really understand the outcomes that we're looking at in the study, which is islet cell function, metabolic control, glycemic awareness. So, I think we're still on track to be able to acquire that data for late next year. But we're not going to be announcing data on a subject-by-subject basis.
David-Alexandre Gros: Yes. So we'll announce the data on the first subset in the first half of next year and then we would expect to have the full number of patients enrolled and to get that data, the full top line data in the second half.
Matthew Kaplan: Okay, that's very helpful. Thank you. And then a second question. You mentioned some upcoming presentation at the American Society of Transplantation. Can you give us a little bit more color in terms of what to look for there as you announce those data sets in June?
Steve Perrin: Yes, sure. There's four presentations that's going to happen at the Transplant Congress. There's two posters and two oral presentations. One of the posters is focusing on the historical design of AT-1501 and its characterization primarily in vitro studies with our receptor binding FC effector function and lack of platelet activation. The second cluster  is focused on the nonhuman primate work that we did initially with AT-1501. So, talking about the pharmacokinetics and nonhuman primates as well as reviewing data from our two toxicity studies that we did in nonhuman primates, a 12-week study as well as a subsequent 26-week study. The two oral presentations, one of them is focusing on a presentation of our Phase 1 data of AT-1501 primarily in healthy volunteers, but we did have a cohort of ALS patients in that study, and again, focusing on safety readouts, pharmacokinetics, ADA responses, as well as we did do an immune challenge showing functional activity of the antibody in that study. And then the last presentation will be presented actually by Norma Kenyon, our collaborator at U Miami, who has worked with AT-1501 in her nonhuman primate islet cell model, and she'll be presenting data on AT-1501 in combinations with other traditional immune modulatory drugs that are used in the context of transplant rejection, as well as presenting data with several doses of AT-1501 either as a monotherapy and presenting data on the ability of AT-1501 to prevent acute and long term islet cell transplant rejection.
Matthew Kaplan: Great. Thanks a lot for the added color, Steve.
Steve Perrin: You're welcome.
Operator:  Next question comes from Vernon Bernardino from H.C. Wainwright. Your line is open.
Vernon Bernardino: Thanks for taking my question. No worries. You might get my evil twin if you say that though. Just to follow up on Matt's question, Steve, can you describe a little bit what the immune challenges and how it's done?
Steve Perrin: Yes, there's a couple of different ways to do immune challenges. Typically, it's done with any type of a foreign antigen. So, tetanus toxin is one that's not uncommon. KLH is another one that's very common and that's the one that we use. It's a protein that's derived from shellfish. And so you can imagine -- and we try to avoid people with this type of an experiment that actually have shellfish allergies. But if you take a foreign antigen, like from shellfish and injected subcutaneously under the skin, it would generate a very acute hypersensitivity reaction, because your body has never seen that protein before. So, the way these experiments are typically done -- and we did it a little bit different. Typically, what one would do is enroll your subjects into the study in probably three to seven days before you do that foreign protein challenge you would start treating them with your immune modulatory immunosuppressive drug to start tampering down their immune system. And then you come in and do your subcu challenge to see if you can block the body's immune system from recognizing that foreign antigen. What we did in our Phase 1 study was actually quite more aggressive than that. We actually injected the KLH subcu at the exact same time that we did our IV infusion of AT-1501. And yes, we demonstrated the ability to completely block the immune system's recognition of that foreign antigen in two or three subjects and we did get a pretty good attenuation even in that third subject. So, under a very difficult challenge, it was the first data to show we had functional activity of AT-1501 in humans.
Vernon Bernardino: And so you'll do the same with the current ALS study that is at on the same day?
Steve Perrin: So, in the ALS study, we're not planning on doing any KLH challenges in that Phase 2 study in ALS.
Vernon Bernardino: Okay. Would that data for the immune challenge serve as the result you would keep in mind as far as the results concern across the board, as far as the different studies? ALS, renal and islet?
Steve Perrin: The goal of the KLH study in the Phase 1 study was really to just show the first signs of functional activity for AT-1501 in humans. In our subsequent studies, we're more focused on disease-specific biomarkers to show functional activity. As I described in our ALS study, there's a couple of different biomarker components to that study. One of them being the ability to look at AT-1501 changing B cell function. So as I described, when you block the CD40 ligand pathway, it has a dramatic impact on B cell maturation, antibody production class switching, and one of the ways that you can measure that is markers of B cell function, one of them is CXCL13. Another way to measure whether AT1501 is having effects in ALS is to look at those pro-inflammatory markers that have been described in multiple studies that are elevated in people with ALS compared to healthy controls. And AT1501  modulates the immune system should have an impact on those pro-inflammatory markers.
Vernon Bernardino: Perfect. Looking forward to the ALS data -- the Phase 1 data transplantation and continued progress with ALS and other than renal studies. Thank you for taking my question.
Steve Perrin: Thank you.
David-Alexandre Gros: Thank, Vernon.
Operator: And there are no further questions at present time. Please continue with your presentation or closing remarks.
David-Alexandre Gros: Thank you against everyone for joining us on the call. We are pleased you could join us today to hear our progress during the first quarter and we look forward to keeping you updated on our programs.
Operator: And that does conclude the call for today. We thank you very much for your participation and ask that you please disconnect your line.